Operator: Good morning, ladies and gentlemen, and welcome to SiriusPoint Limited Third Quarter '22 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. Now I'd like to turn the call over to Ms. Clare Kerrigan, Head of Investor Relations for SiriusPoint. Please go ahead, ma'am.
Clare Kerrigan: Thank you, operator. Welcome to the SiriusPoint Limited Earnings Call for the Third Quarter of 2022. Last night, we issued our earnings press release and financial supplement, which are available on our website, www.siriuspt.com. With me here today are Scott Egan, our Chief Executive Officer; and Steve Yendall, our Chief Financial Officer. Before we begin, I would like to remind you that many of the remarks today will contain forward-looking statements based on current expectations. Actual results may differ materially from those projected as a result of certain risks and uncertainties. Please refer to the earnings press release and the company's other public filings, including the Form 10-K for the period ended December 31, 2021 and Form 10-Q for the period ended September 30, 2022, where you will find risk factors that could cause actual results to differ materially from those forward-looking statements. In addition, management will refer to certain non-GAAP financial measures, which management believes allow for a more complete understanding of the company's financial results. A reconciliation of these non-GAAP measures to the most comparable GAAP measure is presented in the company's earnings press release that is available on our website. At this time, I will turn the call over to Scott.
Scott Egan: Thank you, Clare, and good morning, everyone. For those of you who don't know me, I'm Scott Egan, and I joined SiriusPoint as CEO 6 weeks ago. I'd like to begin by saying that I'm pleased to be here and really looking forward to leading SiriusPoint to a higher level of performance in the next stage of its development. I have worked in the insurance industry now for 25 years and have significant leadership experience and expertise in risk and financial management, much of it gained from steering businesses through transformation and growth. Prior to joining SiriusPoint, I served on the Board of FTSE 100 company, Royal Sun Alliance Group, for 6 years, most recently as CEO of their U.K. and International business. And previously, I was their Group Chief Financial Officer. I've also held senior positions at companies including Aviva, Zurich Financial Services, Brit Insurance and Towergate Broking. With that brief introduction and acknowledging that I've only been with the company for 6 weeks, I'd like to share some initial thoughts on SiriusPoint and the work already underway. I'll then turn to our third quarter performance and details of the organizational changes that we announced in our earnings release last night. I believe that SiriusPoint can be a high-performing organization, but the company's recent performance has not been. This is a company that can and should deliver higher levels of performance, and I look forward to building on the progress made since the merger last year. Our aim is, firstly, to stabilize and improve underwriting performance, lower our volatility and shift our business profile to be more heavily weighted towards insurance. Good work has happened in this regard across the entire portfolio, with much of the focus being in reducing our property cat exposure, specifically on decreasing market share and exposure in the international property cat business. That said, myself and the team recognize there is much still to do. Given the impact from cat activity over the quarter, our Q3 earnings are a good first test against some of these actions. Steve will present these details in more detail, but let me provide an overview. Hurricane Ian was a major industry event, one of the largest ever insured, and our loss as a percentage of shareholder equity compares well against our peers based on their reported quarterly results. Our overall cat losses for the quarter also benchmark well against the cat losses posted by our peers in their results. Importantly, our combined ratio from our core operations has improved on a cat normalized basis, approximately 4% year-on-year across both our primary and reinsurance books. Both the reduced catastrophe volatility and improved non-catastrophe underwriting performance are reflective of the significant re-underwriting that has occurred since the merger last year, which has only been through 1 January renewal cycle since formation. Reinsurance remains an important part of our product offering but will represent a smaller percentage of our overall portfolio going forward as we remain focused on reducing our volatility from the global property cat business. At the same time, we are continuing to grow our book of business towards other reinsurance lines, A&H and Specialty and Casualty business within P&C, which we believe provides attractive risk-adjusted returns and lower overall volatility. We expect the impact of our actions in this regard to gain momentum and be reflected in our 2023 performance. In our Insurance and Services segment, Accident & Health continued to see strong growth across the portfolio in the quarter and is capitalizing on new opportunities to bolster the existing book of business. The improvement in year-on-year performance was driven by our wholly owned subsidiary company, International Medical Group, which continues to capitalize on global return to full travel and improved market dynamics. Armada, also a wholly-owned subsidiary, also continues to outperform prior year. Overall, our MGAs and MGUs have performed well in the year, with our consolidated MGA showing a premium growth of 71% year-on-year and with the year-to-date average margin of 15%. Turning now to our organizational priorities. With a significantly reduced focus on international property catastrophe business, we recognize the need to make changes to our operations and workforce to ensure SiriusPoint remains fit for the future. As a result, we announced yesterday that SiriusPoint is making changes to the structure and composition of our international branch network, and will reduce the locations from which we underwrite property cat reinsurance. We will close our offices in Hamburg, Miami and Singapore and reduced headcount in Liege and Toronto. Although in these anticipated changes and the rescaling of our operating platform, SiriusPoint will continue to serve clients and underwrite property catastrophe reinsurance from 2 hubs, with the North American property cat business written from Bermuda and the International property cat business written from Stockholm, albeit with a revised appetite and focus. This shift in appetite only impacts 10% of our overall portfolio from a premium perspective, although a disproportionately larger amount of our volatility and operating complexity. Importantly, it addresses an underperforming part of our business which has lower volatility, less reliance on retro reinsurance and more flexibility. The announcement made yesterday about the change has not been taken lightly. But I'm confident as a result of the actions we're taking now, SiriusPoint will emerge as a stronger, more focused company than we were before. Looking forward, our business will be built around 4 strategic priorities. These are, number one, our focus on profitable underwriting and performance in both insurance and reinsurance. Number two, leveraging our strong and complementary distribution footprint. Number three, leveraging our specialisms across our insurance, reinsurance and distribution businesses. And finally, number four, having a customer-focused organization that operates efficiently. When we present our full year results next year, I plan to discuss these areas of focus and our plans in more detail. The strength of SiriusPoint lies in our people, and I have complete confidence in them as we navigate this period of transition and the drive the business on towards higher levels of performance. We are all working incredibly hard to achieve this. To this end, I'd like to focus on a few changes that we're also announcing with regard to my executive team. Firstly, Monica Cramér Manhem, who leads our SiriusPoint International business, has made the decision to retire. Monica will remain in her role of President, International Reinsurance and CEO of SiriusPoint International and continue to be an active member of the executive leadership team as she works with me closely to appoint a successor. Monica has played a hugely significant role in the company over her 40-year career, and I am incredibly grateful to her for her continued leadership as we navigate the change in our International platform. Secondly, David Govrin has assumed the expanded role of Global President of SiriusPoint and Chief Underwriting Officer. David has outstanding experience in credentials in insurance and reinsurance, and has been instrumental in driving the improved underwriting performance across the company. In addition, we will continue new hires externally to the company. Dhruv Ghalaut will join as Head of Investor Relations and Chief Strategy Officer, and [Karen Caddick] will join the company as our Chief Human Resources Officer. And finally, Steve Yendall, who is beside me and who has only joined the business 3 days ago, has joined us as our Chief Financial Officer. And that, I'll pass it over to Steve to both introduce himself and take you through the results in detail. Steve?
Steve Yendall: Thank you, Scott, and good morning, everyone. I too am pleased to be here, and I'm looking forward to working with Scott and the entire SiriusPoint team to deliver profitable growth and stability. As Scott said, I have 25 years' experience in the industry, most recently as Managing Director of Guy Carpenter Canada. Prior to that, I served as CFO and COO at the RSA Canada Group, where I was responsible for setting and driving the company's performance and long-term strategic priorities. I was also a member of RSA Canada Group's Board of Directors and the RSA Insurance Agency Board of Directors. I look forward to meeting you all. Turning to SiriusPoint's Q3 financials. For the third quarter, we generated a net loss of $98 million or $0.61 per diluted share versus a net loss of $48 million or $0.34 per diluted share in the same quarter a year ago. Our annualized return on average common equity in the quarter was negative 20.1%. We had a consolidated underwriting loss of $47 million with a combined ratio of 107.7%, reflecting a $191 million or 40% improvement as compared to the prior year quarter. Core loss was $75 million for the third quarter of 2022, including an underwriting loss of $88 million and a combined ratio of 114.5%, which compares to a $245 million loss and a combined ratio of 150.2% in the third quarter of 2021. Our third quarter results include $115 million of catastrophe losses, net of reinstatement premiums or 18.7 percentage points, of which Hurricane Ian accounts for $80 million, reflecting a $60 billion industry loss estimate. The remainder of catastrophic losses are largely driven by France hail and Asian typhoons. For the Russia-Ukraine conflict and COVID, our reserving approach of recognizing bad news quickly and good news slowly is holding with no change to our original currency ultimate loss picks, and hence, very limited financial impact in the quarter. We continue to take a cautious approach to the reserving for our growing insurance and services segment, holding most ratios at original loss picks despite positive actual versus expected trends as we wait for this book to season. With respect to inflation, we have evaluated the expected impact of the elevated level of current and expected inflation to our pricing and reserving, as was covered in last quarter's update, we've taken action earlier this year to adjust trend assumptions in our pricing to allow for this elevated level of inflation. We have concluded that the impact is within our established reserves given the existing allowances for uncertainty that were already established. This is without question a dynamic situation with a relatively high degree of uncertainty, and we will continue to monitor and analyze the inflationary environment and its impact on our portfolio in order to maintain adequate pricing and reserve estimates. Core gross premiums written for the third quarter were $843 million, compared to $636 million in the same quarter a year ago, which is a growth of $207 million or 33%. The growth year-over-year is driven by our insurance and services segment, and reflects our business strategy of shifting our business mix from reinsurance to insurance to reduce earnings volatility and improve underwriting profitability. Turning to the individual segment results in more detail. Insurance and services produced income of $1 million, consisting of $9 million net services income and an underwriting loss of $9 million with an associated combined ratio of 102.8%. Net services income primarily benefited from IMG's stronger revenue, which outpaced expenses contributing to margin expansion along with the continued performance from Arcadian and Armada. Net services income included $53 million of services revenue versus $38 million in the prior year, predominantly from growth in IMG's core travel medical products. Insurance and services underwriting profit included adverse prior year development, which was driven by strengthening of workers' compensation reserves based on reported loss emergence. Excluding adverse prior year loss development, the accident year combined ratio was 96.6%. Insurance and services gross premiums written in the segment were $525 million, compared to $241 million in the prior year, with both our Accident & Health and Property and Casualty portfolios continuing the organic growth trend from prior quarters. Both legacy and new relationships are providing meaningful top line growth in 2022. Looking forward, we brought on 4 new partners in the period with early successes writing new business in their markets. For the foreseeable future, management plans to continue to be opportunistic where we feel we can provide a service to the marketplace with aligned interest from our potential partners. Reinsurance gross premiums written in the segment were $318 million compared to $395 million in the prior year, primarily due to our strategic reduction in property cat business. The segment had an underwriting loss of $80 million and an associated combined ratio of 126.1%, impacted by $115 million of cat losses in the quarter, contributing 37.5 points to the combined ratio. The results continue to reflect the improvements of the dramatic reshaping of the portfolio undertaken over the last 18-plus months, including significant reductions in our property cat exposure. We reduced our PMLs across the entire curve, and as we entered the third quarter U.S. wind season, our Southeast tail PML was down 45% year-over-year. However, we continue to have more volatility in property than we want in the long term and continue to re-underwrite property risk globally. Outside of property, our casualty reinsurance focus remains on niche specialty lines, while our other specialty books are targeted for growth within our underwriting appetite. Core underwriting expenses were $43 million for the third quarter of 2022 or a 7.1% underwriting expense ratio. While we continue to invest in our Insurance and Services business, efficiency gains continue to keep track with the investments to improve operational capabilities. Corporate expenses, excluding services expenses, were $24 million in the quarter, inclusive of a management change related expense, severance and professional fees. Excluding these items, corporate expenses were $16 million for the quarter, in line with previous quarters. The net investment loss for the third quarter was $28 million, driven by our related party investment funds of $8 million, offset by $7 million positive return on other long-term investments and debt securities of $9 million, which includes FX-driven investment losses of $26 million and roughly $1 million of losses in the [TPOP] portfolio. FX losses in our investment results are more than offset by gains from our foreign currency-denominated liabilities and debt. The loss on the related party investment funds was primarily due to the Third Point Enhanced fund with a negative return of 3.2% in the quarter. As you may recall, in the second quarter, we took action to shift from a trading portfolio to an available-for-sale portfolio for new fixed income investments. As of September 30, the balance of fixed income security held under AFS was $1.3 billion, and the other comprehensive loss on this portfolio was $40 million for the 3 months ended September 30, including $2 million from FX. Despite the rising rates and widening spreads, our fixed income portfolio outperformed benchmarks and peers due to its short positioning in duration and defensive credit posture. We intend to capture higher market yields going forward and actively extend the duration of our portfolio. As we deploy our investment strategy and reinvest cash and short-term investments, we expect the portion of AFS securities to continue to grow and go forward investment income volatility to continue decreasing. Our balance sheet remains strong, ending the quarter with $2.1 billion of shareholders' equity. Total capital, including debt was $2.9 billion. Issued debt was unchanged in the quarter, except for FX changes in our Swedish kroner denominated sub debt, and our debt to total capital ratio is 27%. Tangible book value per diluted share fell 7.6% in the quarter. And now, I'd like to hand it back to Scott for his concluding remarks. Thank you very much.
End of Q&A:
Scott Egan: Thanks, Steve. I hope, on the call, you get a sense of the level of energy and activity in the company, focused on improving performance. Much has been done, but we are clear there is much still to do. My ambition is high for the organization. We can and should be a high performing company. We are working hard to develop plans to achieve this, and I look forward to sharing these in more detail as part of our full year results presentation. Thank you again for your time this morning, and I'll turn the call back over to the operator.
Q - :
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.